Operator: Good morning, and welcome to Wesdome Gold Mines conference call to discuss the company's financial and operating results for the 3 and 9 months ended September 30, 2024. As a reminder, this call is being recorded. Your host for today is Trish Moran, Wesdome's Vice President of Investor Relations. Ms. Moran, please go ahead.
Trish Moran: Thank you, and good morning, everyone. Before we get started, I'd like to point out that during today's call, we may make forward-looking statements as defined under Canadian securities law. I ask that you view our slide presentation for cautionary language regarding forward-looking statements and the risk factors pertaining to these statements. Please note that all figures discussed on this call are in Canadian dollars unless otherwise noted. Our press release, MD&A and financial statements are available both on SEDAR+ and on our corporate website, wesdome.com. With us on today's webcast is Anthea Bath, Wesdome's President and CEO; Guy Belleau, our COO; Fernando Ragone, our Chief Financial Officer; Rajbir Gill, Senior Vice President, Corporate Development and Investor Relations; and Niel de Bruin, our Director of Geology. Following management's formal remarks, we will then open the call to questions. And now over to Anthea.
Anthea Bath : Thank you, Trish. Good morning, everyone. The third quarter was a successful one with solid quarter-over-quarter and year-over-year improvements in production, AISC and cash flow. I'd like to acknowledge how the team came together, enabling us to achieve these results. Eagle River continues to be a strong contributor to the bottom and top line. The team's achievements to date are due to consistent execution to plan and rapid implementation of processes and procedures at site. There's a heightened focus on health and safety, eliminating waste and capitalizing on efficiencies. We expect much of the same in quarter 4 as we build on our momentum, reinforce this culture and empower our team to make changes required to improve productivity and to reduce costs. Kiena delivered an impressive reduction in all-in sustaining costs compared to the second quarter and last year. At $1,119 per ounce, they're in the bottom quartile of the gold mining industry. At current gold prices, this supports record margins for the asset and the company overall. Just as impressive as the financial performance in the quarter, from a health and safety perspective, our supervisory team at Kiena was recognized for its efforts during a banquet organized by the Quebec Mining Association. This achievement is also reflected in Kiena's combined incident frequency rate, which remains at zero year-to-date. The focus at Kiena this year was to maintain safety standards to reach the high-grade 129 level horizon and to execute against ramp-up plan. To date, we've checked most of these boxes. After a progressive ramp-up in the 129-level horizon since April, we're consolidating what we've learned to identify areas for improvement. The fourth quarter will emphasize closely managed operations with a focus on predictability and efficiency. Reflecting earnings to date, we are now adjusting our 2024 guidance slightly for Kiena. As of the end of October, our internal forecast indicate production at the lower end of our initial guidance range. To account for this, we reduced the lower end of the range by 3,000 ounces while retaining overlap with our original targets. This adjustment supports a more deliberate approach as we refine our processes and set up for an even stronger 2025. As an offset and reflecting outperformance at Eagle to date, we're increasing the upper end of Eagle River's 2024 production guidance by the same amount of 3,000 ounces. On a consolidated basis, we're benefiting from the portfolio effects as the midpoint of our consolidated production guidance remains essentially unchanged. We're still targeting the midpoint of approximately 170,000 ounces for the full year. Furthermore, we are reaffirming our 2025 production guidance of 175,000 to 210,000 ounces. That said, when we updated our 2024 forecast for the shift in production from Kiena to Eagle and certain tactical investment decisions, we determined an adjustment to cost guidance was required. Given our focus to date at Kiena has been on ramp-up execution and not specifically on cost control, the upside for the asset from a value perspective is tremendous. Next year, we expect to allocate more attention towards the cost structure of the mine with potential to incorporate some of the recent improvements we've seen at Eagle River. I'll be remiss not to mention our efforts on the exploration front at both assets during this quarter. At Eagle River, we're seeing promising results from various near-mine zones, which should support a positive update to reserves next year. At Kiena, we're also seeing significant brownfield upside with various zones showing extensive potential. We're looking forward to providing the market with updates on both exploration programs in the coming weeks. Now over to Guy Belleau for his first quarterly operating review as our Chief Operating Officer. Welcome to our team.
Guy Belleau: Thank you, Anthea, and good morning, everyone. Very excited to join the Wesdome team under Anthea's leadership. I had the immense privilege to serve in the industry over the last 30 years. I am passionate about driving changes and to deliver value. The third quarter set another new record for consolidated quarterly gold production with 45,109 ounces produced as Eagle River continued its outperformance against plan and Kiena continued its ramp-up since initial mining began in the 120-level horizon in April. This was achieved while also holding the line on safety performance at both sites. As previously disclosed, gold production at Eagle River came in at 23,688 ounces in Q3, taking its year-to-date production to 67,860 ounces, an increase of 7% over the first 9 months of 2023. The increase is mainly driven by higher grades and additional tons due to mining sequencing. Eagle River processed 57,984 tons, an increase of 7% versus the prior year quarter due to improved access to ore and additional stockpile feed with mill availability. Grade at Eagle River was 13.1 grams per ton, 10% higher this quarter than in Q3 of last year, primarily driven by stope sequencing and a greater share of production coming from the high-grade 300 zone. All-in sustaining costs were $1,700 for the third quarter, which marks an improvement over last year and is expected to improve as ongoing operational improvements begin to bear fruit. These improvements are twofold and will target the numerator and the denominator of dollars per ton. First, we aim to leverage Eagle River's existing fixed cost structure, which offers potential efficiencies as we increase throughput. Secondly, we are continuing to drive the first significant continuous improvement project in the site's recent history. As we have indicated in the past, one of these strategies involves utilizing underground tons located closer to surface and near established underground development and infrastructure. Supported by exploration, we will prioritize opportunities that incrementally fill the 1,200 tons per day mill over time, thereby compounding the benefits of the continuous improvement initiatives to drive costs lower. Second, as part of the renewed continuous improvement project, we are focusing on areas where we are confident that we will obtain material savings and productivity improvements such as moving from contractor to an owner-operated model to help reduce development and drilling costs. So, improving the reliability of our equipment maintenance program to increase productivity and reduce sustaining capital requirement over the life of mine. Looking at supply chain synergies across the company to increase our buying power on key consumables and inputs and consolidating and optimizing our surface infrastructure to improve workforce productivity. These initiatives integrated with technology will help create a more safe, efficient and productive workforce at site. On the development side, the 300 Zone has been advanced laterally and overall is well positioned to facilitate mining of high-grade ore at depth next year. Eagle River is having a great year, and we expect it to come in at the upper end or potentially exceed the initial 2024 production guidance. At Kiena, the team have now shown consistent performance through the ramp-up of production from the Kiena Deep zone with excellent safety results to date. Produced tons are in line with budget. Development is on track, establishing areas for 2025 production. Block models are reconciling to actuals. Compared to the corresponding period in 2023, Q3 production tripled to 21,421 ounces and ore processed rose 8% at a consistent 99% recovery. Year-to-date, the Kiena mine has produced 54,607 ounces of gold, an increase of 133% over the first 9 months of 2023. Q3 throughput was up 5% year-over-year, but down 9% to Q2 2024 due to resequencing. However, on average, both quarters beat budget. Grade at Kiena this quarter was slightly lower compared to Q2 due to slightly higher-than-expected dilution in some stopes. That said, as mining has ramped up from the 120 level in April, we have recalibrated our near-term mine plan as we now expect short-term congestion of production stopes in the final quarter of the year. This will allow the team to continue to transition to optimal performance and set ourselves up well for 2025. Having now established multiple mining fronts in Kiena Deep and while successfully mining through the zone associated with shift material, we have identified opportunities to increase production rates, optimize stope design parameters and enhance maintenance practices going forward. We see this as a learning curve as we advance the operation and support the management team as we gradually improve performance. We are also being prudent by initiating independent ground control reviews that will continue to validate and potentially refine our approach. Regarding ramp development, the Kiena deep ramp is expected to reach the 134-136 levels in Q1 2025, with still production expected by the end of 2025. At Presquile, ramp development also continues to advance, establishing exploration drilling platform for the highly prospective Presquile ore body in the short term. In the long term, the Presquile ramp will provide an important secondary hauling route and be used to improve underground ventilation. The proximity of the ramp to the Presquile ore body facilitates first production from the zone in late 2025 and provides a material handling room for the targeted resource and reserve addition from Level 33 as the Kiena mine takes first steps in our strategy to fill the mill. Recall, the 33 level essentially relieved several bottlenecks underground and could eventually facilitate the 1,000 ton per day or more of production from various near surface zones to surface. Q3 also saw the completion of rehabilitation activity on the important 33 level located near surface zones, including [Indiscernible]. The final diamond drill pay on the level is expected to be completed in mid-Q4 and will allow us to begin underground exploration drilling in 2025. So overall, a good quarter where our teams continue to deliver and improve and have done so with excellent safety results. While it has only been 5 weeks for me at Wesdome, I am excited by the untapped potential I see and the great team in place to unlock these opportunities. Niel will now provide an update on our exploration program. Over to you, Niel.
Niel de Bruin: Thank you, Guy. Good morning. I am excited to update you on our exploration programs at our Kiena and Eagle River mines. At Kiena, we drilled approximately 34,000 meters in the third quarter. As of the end of September, we have drilled about 60,000 meters at Kiena, including 15,000 meters of infill drilling, 18,000 meters of delineation drilling and 28,000 meters on exploration. We plan to issue a press release showcasing the latest infill and exploration drilling at Kiena soon, but let me give you a general update. To date, in 2024, our underground exploration drilling of 98 holes across 23,950 meters is focused on the zones that make up Kiena Deep and the new surface zone. At the high-grade Kiena Deep footwall zone, the focus has been on continuing delineation, completing 14,048 drill holes in the Kiena Deep area. We are seeing high-grade drill results that contribute to growing our resource base and provide us with crucial data to improve our understanding of continuity and geometry. Exploring the footwall zone remains a top priority for us with the potential for growing ounces per vertical meter across future development levels. The second zone we continue to explore is a down plunge extension of the Wish area from the 53-level drift. Follow-up drilling is yielding promising results, highlighting the potential extension of Wish and validating geometry of mineralization structure, which is typically a prerequisite of an economic zone at Kiena. A total of 40 drill holes and 9,950 meters have been completed to date. Another exciting project for Kiena was the completion of a 300-meter exploration platform on the 109 level in late Q3. This platform will allow for testing the down potential of the VC Zone and K -109. Diamond drill bay development at the end of the drift is expected to be completed in early Q4. Turning now to our new surface drill program at Kiena, where year-to-date, we have drilled 17,000 meters. This summer, we conducted a surface drilling program from barges targeting several new surface deposits. While we have limited time frame for barge drilling, efficient drilling allowed us to exceed our planned drill meters within the time frame permitted. This enabled the team to target additional growth and conversion targets with promising results highlighting the potential for reserve and resource growth at the Dubuisson deposit. During the barge season, we completed 38 drill holes and 11,967 meters of drilling at the Dubuisson zone with a focus on drilling to potentially upgrade the portion of the current inferred resource of 140,000 ounces to the indicated category. This drill program provided both critical data verifying the model enhancements and the base for resource drove down plunge of the zone. We also completed drilling in the Northwest and Northeast zones and the Duchene zone. The historic Northwest zone, which was discovered in 1986 is an important target due to its optimal location north of the future Presquile ramp and its potential to be another zone to be mined near infrastructure. This summer, we drilled 5,616 meters across 21 drill holes targeting the northeastern area of the zone. The drilling provides valuable information on the Northwest zone extension potential and highlights the existence of additional mineralization to the north of the zone. As part of this summer's bast drilling program, we completed a 10-hole limited exploration program of about 3,500 meters towards the Northeast zone, historical zone north of the Kiena mine. Initial drilling completed to date in Duchene zone south of the 33-level infrastructure included a total of 1,880 meters, confirming the zone's potential and providing data to improve the historic interpretation of the zone. Our exploration approach for Presquile incorporates targeting upgrading of resources down plunge of current mineral reserves and testing the potential of the zone at depth for resource growth. Year-to-date, we have completed 20 holes for a total of 6,600 meters and results continue to demonstrate the potential of this new surface deposit with 2 infill drill holes showcased in VC highlighting potential high-grade areas within the zone. Our focus for the fourth and final quarter of 2024 will involve continuing to target Kiena Deep from the 127-level platform, complete the drill platform to target the VC Zone and assess geological potential of underexplored regions proximal to the VC zone. Complete sampling, assaying and data analysis of the surface drilling program will also remain a priority. Another 5 holes comprising 2,000 meters targeting the footwall zone is scheduled for completion in Q4, bringing the total to 53 holes totaling 16,000 meters in the Kiena Deep zone. On completion of the drill platform for the VC zone, 2 holes for 800 meters will be completed with another 2,000 meters planned in the Wish area. Let's take a look at Eagle River, where our exploration approach incorporates continued assessment of extensions of known zones, delineation of zones to replace reserves and regional surface exploration work identifying targets for long-term development. Year-to-date at Eagle, we completed approximately 83,000 meters of drilling, including 16,000 meters of delineation drilling, 22,000 meters of infill drilling and about 45,000 meters of exploration drilling at the mine and about 10,000 surface drill meters. In the third quarter, we completed a total of 8,000 meters of infill drilling to enhance resource conversion effort at 4 areas, the Falcon 7, 311 West, 5 and 711 Zones. Additionally, we conducted an underground exploration drilling program totaling 7,500 meters that's focused on several key areas such as the 6 Central Zone, Falcon 311 Zone and 300 Zone at depth. The Sixth Central zone with year-to-date 21,700 meters of drilling across 81 drill holes completed highlights continuous high-grade mineralization. This area holds significant potential for our future mining operations. It is located at intermediate depth near existing underground infrastructure and offers exceptional prospects for growth and conversion. Therefore, targeting this zone remains a top priority. At Falcon 311, we have completed a total of 11,800 meters across 43 drill holes, focusing on the up-plunge potential of the zone. Our aim is to upgrade the resource classification here and extend the zone in the up-plunge direction. Additionally, in 2025, we plan to explore the down plunge extension of the zone as previous drilling results have indicated higher grade mineralization at depth. Our primary focus continues to be the conversion of high-grade mineral resources in the 300 zone and take it to below the 1,300-meter elevation. This year, we have completed several drill holes totaling 27 holes with 16,000 meters. The latest drilling results have yielded significant values, further emphasizing the continuity and quality of the zone. Exploration drilling targeting the down plunge extension of the 300 Zone is assisting us to better understand the structural geometry of the zone at depth. The 6 Central, Falcon 311 and 300 zones are essential for exploration and infill drilling program aimed at reserve and resource replacement. Drilling will continue in Q4 with the majority of the 2025 drilling focusing on these ones. Our 2024 surface exploration strategy includes limited drilling in the 2-zone area alongside the detailed structural analysis that begins with a regional focus before narrowing down to a mine-wide scale. We have also conducted the geophysical chargeability resistivity survey using induced polarization. This integration of geophysics and structural analysis will help us prioritize drilling targets cost effectively while minimizing drilling risk. The processing of the IP survey conducted west of the mine diorite is expected to be completed in the fourth quarter. Several target areas have been evaluated for the structural surface mapping program, allowing the team to identify priority drilling targets for 2025. We plan to continue detailed mapping of various areas following the end of the winter season as press release updating the status of the extensive exploration program at Eagle River project is expected in the coming weeks. And now over to Fernando, who will take you through the quarter's financial results.
Fernando Ragone : Thank you, Niel, and good morning, everyone. In the third quarter, we achieved record gold production of 45,109 ounces, a 62% increase over Q3 2023. This was driven by accessing a greater proportion of high-grade zones at both of our Eagle River and Kiena mines. On a per ounce basis, this quarter all-in sustaining costs were the lowest this year as well as over the past 2 years at $1,408 as we continue to ramp up mining from the high-grade Kiena Deep zone and benefit from favorable foreign exchange rates. Financially, we delivered strong results across the board. Revenue increased 111% year-over-year to $147 million, driven by both higher production and a 33% increase in realized gold price. During the quarter, the company recorded net income of $39 million or $0.26 per share, a significant increase over the prior periods due to higher production and realized price. For the quarter, cash generated from operations was $61 million or $0.41 per share, 35% higher than prior year, impacted by the timing of cash taxes during the period of $26 million. I would like to highlight the cash taxes during the quarter included a catch-up payment from early in the year. Going forward, we expect to be fully taxed at about 35% effective tax rate. In addition, we are capturing record margins. For example, compared to Q3 2023, cash margin of $2,206 per ounce was up 168%. EBITDA of $84.6 million was up 6.5 times. Operating cash flow was up 35% and free cash flow of $30.8 million was nearly triple the prior year quarter. Our liquidity position continued to improve as we repaid the balance of our revolving credit facility early this year, leaving us debt free. With the further increase in free cash flow from the third quarter, our balance sheet has continued to strengthen with working capital increasing to $70 million at the end of September from a negative $18.8 million at the start of the year. Essentially, we improved our net position by over $88.2 million in the first 3 quarters of 2024, all supported by increasing free cash flow. On Slide 10, we summarize our revised guidance for 2024 and reiterate our outlook for 2025. The midpoint of consolidated 2024 guidance remained the same at 170,000 ounces. However, we're now narrowing the range to between 166,000 ounces and 176,000 ounces. Despite production tracking well and cost declining sequentially year-to-date, we're refining our 2024 guidance for consolidated per ounce cash cost and all-in sustaining costs. We note that a material component of the cost update also includes tactical investment decisions which were not originally contemplated such as reducing the risk to the 2025 mine plan by increasing waste development, boosting exploration spending in high potential areas and opting out of using capital leases this year. So, a bit of color on the last point, although our January guidance anticipated utilizing about $5 million in capital leases, which would have offset initially all-in sustaining cost guidance for about $30 per ounce, we prudently opted to purchase rather than pay double-digit interest rates on mobile equipment leases. In doing so, we will save nearly $1 million a year in cash interest over the life of the lease. We are well capitalized with a strong balance sheet, and we will continue to look for other similar cost savings opportunities. Lastly, one housekeeping item. We renewed our base share prospectus last night as a matter of process as it was set to expire shortly in the next few months. And now over to Anthea to wrap things up.
Anthea Bath : Thank you, Fernando. Looking beyond this quarter, Wesdome's future looks bright, underpinned by 3 key initiatives. Firstly, full mill strategy at both sites is an overarching critical initiative aimed at bringing near surface deposits into production to leverage our relatively high fixed cost structure. The Presquile zone in Keina tag is the first of these opportunities. It is a shallow zone of a planned mine infrastructure will increase utilization of the mill by 250 to 400 tons per day. At this time, we believe Presquile will be followed by Dubuisson. While the strategy is expected to enhance our operational flexibility, we are committed to ensuring that we fully capture the benefits as we increase throughput, as Guy mentioned. Secondly, we are excited about the exploration of our extensive and largely underexplored land packages. We have an aggressive multiyear exploration program in place, as you have heard, and we are drilling for discoveries to convert resources and to better understand and gain insight into our ore bodies. Our geology is so interesting. The more we explore, the more we are really starting to understand the potential of Eagle River and Kiena. We look forward to Jono Lawrence joining us as our new SVP of Exploration Resources at the beginning of 2025 and getting his perspective. Thirdly, the optimization of our production planning through the development of a global resource model represents a significant initiative for Wesdome. We've begun by building and digitizing the data for Eagle River over the last year. The comprehensive model looks at everything from 300 Zone to Mishi to Magino, providing us with valuable insights to guide future investment. We'll have more to say about this potentially game-changing initiative in 2025. We believe these 3 key initiatives, the full mill strategy, our aggressive exploration program and the development of this global resource model will have the potential to add tremendous value to Wesdome and to our shareholders. I want to take some time today to share how we think about Wesdome. It's simple. Wesdome holds 2 of the highest-grade gold mines, which translates to a high return on capital. They're low cost, high margin and generate significant cash flow in one of the best jurisdictions in the world for mining. Production will continue to grow on the back of our significant geological endowment. With record gold prices and costs that will continue to decline, our cash flow yield is very compelling. And as we leverage our incredible ore bodies through effective exploration, increase our mill and mine utilization and become more efficient, we expect this yield will expand even further. We are confident in Wesdome's ability to continue delivering results that reward our shareholders over time. Thank you for your continued support in Wesdome. With that, operator, we'll now hand over to you for questions.
Operator: [Operator Instructions]. Our first question comes from the line of Ralph Profiti with Eight Capital. Your line is open.
Ralph Profiti : Thanks operator. Good morning, everyone. Anthea, I was intrigued by your commentary at Eagle about the transition from a contractor to an owner model. Just wondering when could we think of that transitioning as starting? And do you think there is material performance pickups and improvements that could be realized in the areas of things like dilution and development rates? And I'm just wondering if this is sort of more of a -- or is this more of a cultural change towards, say, increased operational control?
Anthea Bath : Ralph, thanks for your question. I mean from -- just to answer the first one regarding the contractor conversion or looking at how we optimize our efficiency productively with our people and from a cost perspective as well. We will see that happening during 2025. There's a lot of work being done for us to implement that. So, you can expect from March to September that this program will be executed across the operations. I think if you look at the focus that we have on both operations regarding optimization of these assets, your comment on understanding how we can optimize the mine parameters are well within the mandate of the team right now, and there's a lot of work going on to see how much more value we can add through leveraging those parameters.
Ralph Profiti : Okay. Thank you. And I want to come back to some of the commentary around Eagle development and specifically this 6 Central Zone, where certainly the advantages on infrastructure grade and the shallow depth are evident. I'm just wondering what are the mining widths in that area? And how could that impact your thinking about the 6 Central Zone coming into this near-term mine plan?
Anthea Bath : I'll let Neil answer that one for you, Ralph.
Niel de Bruin: Ralph, in terms of 6 Central Zone, we do see geological work or vein worth in excess of 1.5 to 6 meters. So, actually, this year, with the budget process, we are seeing an increased number of reserves that we are going to plan to mine from the 6 Central in the near term.
Ralph Profiti : Thanks for the detailed answers.
Operator: [Operator Instructions]. Our next question comes from the line of Don DeMarco with National Bank Financial. Your line is open.
Don DeMarco : Thanks, operator. Ad good morning, Anthea and team. And welcome to Guy and Jono. So, first question, does a modest revision to Kiena guidance, can you elaborate on the drivers behind this? I mean, of course, development and production are ramping up, but is there any variations versus your expectations in ramp advancement or stope development or other factors?
Anthea Bath : Thanks, Don, and nice to hear you as well. We continue to learn as we ramp up, and we're applying these learnings to our plan, Don. That's really what it is. I think the important thing here is that the block models reconcile well, which is great. But we will continue to apply the production measures or those productivity measures and drivers to maximize that value. So, there's nothing that's changed. It's just we're taking a prudent approach to making sure we deliver the best value at the ore body.
Don DeMarco : Okay. Well, I guess it's encouraging that the block model is reconciled, but we do see the guidance also tweak the grade down a little bit. Is that because of maybe some increased dilution or something or some other factors?
Anthea Bath : It's a resequencing issue, Don. It's not another factor. There's nothing fundamental in that.
Don DeMarco : Okay. And then just shifting over to Eagle. I think Guy mentioned there's a number of initiatives to further advance Eagle. Are these going to fall within normal sustaining CapEx? Or would you expect a growth CapEx line item for next year?
Anthea Bath : So, that's a really good question. I think some of it is part of everyday operations, as you probably can imagine. So, when you look at maintenance practices and those sorts of things, you can imagine that's typically productivity drivers of those levers or pulls. I would argue very limited capital expenditure there. But there will be initiatives which could have a capital implication, which will align the growth side, where we'll understand the value of that correctly. So, I think you can assume there will be a combination of that coming forward. But the ones that Guy specifically mentioned are mostly aligned with operational productivity improvements.
Don DeMarco : Okay. And he also -- one of the initiatives I thought I heard him mention was to increase throughput. And I think you cited about maybe doing some development in the upper portions of the mine. But are you also considering maybe bringing the Mishi pit back online in order to increase throughput a little bit?
Anthea Bath : Yeah. So, all of this is being evaluated at the moment. And I'm hoping in quarter 1 next year, we can give a bit more insight here as well, Don. So, the global model work and the sizing of the data includes Mishi and Magino within that. So, there's a lot of work currently underway understanding what we can do. We see great benefit, and we'll give more insight later.
Don DeMarco : Okay. Well, nice to see the mine performing well and good luck with the rest of Q4. Thank you.
Operator: And your next question comes from the line of Jeremy Hoy with Canaccord. Your line is open.
Jeremy Hoy : Hi, Anthea and team. Thanks very much for taking the question. Mine is on Kiena. I just wanted to understand with the Presquile ramp and the shaft, that's 2 pads for ore reach surface, but they're also sharing capacity with people and equipment as we discussed at the site visit last year. I'm just wondering, what do you think the max movement rate with the shaft and the ramp is from underground to surface? And how does that match up with the throughput of the plant once it's improved with that $25 million of CapEx you plan to spend?
Anthea Bath : So, they're not, that's the nice part about all of this, Jeremy. Just maybe to clarify that the Presquile ramp is from surface and it's separate to the underground shaft, as you know. Once you unlock the ramp, you basically unlock the material handling constraints that Kiena previously would have had at depth. So now we become fully capable to leverage the full capacity in Southern World of 2,040 tons a day, but probably even beyond, way beyond that. So, I think how you should think about this is the Presquile ramp essentially unlocks material handling as a bottleneck. Your bottlenecks will then become something different, which you'll need to unpack and review.
Jeremy Hoy : Okay. So, it will be plant constraint going forward?
Anthea Bath : Yeah, that's correct once it's unlocked.
Jeremy Hoy : Got it. Thank you.
Operator: [Operator Instructions]. And there are no further questions at this time. This concludes this morning's call. If you have any further questions, please contact Trish Moran at invest@wesdome.com. Thank you for participating today.